Operator: Good morning. My name is Jerome, and I will be your conference operator today. At this time, I would like to welcome everyone to the EMCOR Group Third Quarter 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Mr. Brad Newman with FTI Consulting he may begin.
Brad Newman: Thank you, Jerome and good morning everyone. Welcome to the EMCOR Group Conference Call. We are here today to discuss the Company's 2021 third quarter results, which were reported this morning. I would like to turn the call over to Kevin Matz, Executive Vice President of shared services, who will introduce management. Kevin, please go ahead.
Kevin Matz: Thank you, Brad. Good morning, everyone. And Happy Halloween. As always, thank you for your interest in EMCOR. And welcome to our earnings conference call for the third quarter of 2021. For those of you who are accessing the call via the internet on our website, welcome to you as well. As you have arrived at the beginning of our slide presentation that will accompany our remarks today. We are on slide two. The presentation and discussion contains forward-looking statements and may contain certain non-GAAP financial information. Page two describes in detail the forward-looking statements and the non-GAAP financial information disclosures. I encourage everyone to review both the disclosures, both disclosures in conjunction with our discussion and accompany slides. Slide three shows the executives who are with me today. They are Tony Guzzi, Chairman President & Chief Executive Officer, Mark Pompa, our Executive Vice President & Chief Financial Officer, and our Executive Vice President and General Counsel Maxine Mauricio. For call participants not accessing the call via the internet, this presentation, including the slides will be archived in the investor relations section of our website, under presentations. You can find us at emcorgroup.com. With that said, please let me turn the call over to Tony. Tony?
Tony Guzzi: Good Morning. Thanks, Kevin. And thanks for joining our call. My opening comments will reference pages four through six of our presentation. As we have navigated the last two years, we have learned to operate in highly uncertain and volatile environment. And we have done it with success on almost any metric. We've had to accomplish our mission while keeping our people safe. Our company values of Mission First People always have served us extremely well throughout these unprecedented times. We had an exceptional third quarter at EMCOR, especially against a very difficult comparison in the prior year. As you may recall, in the third quarter of last year, we were bringing about a third of our company back to full operations. We had projects poised and ready to resume or start, delay service that needed to be completed. And buildings, campuses and production facilities that we helped our customers reopen as they resumed operations. Further, we had yet to bring back our full complement of staff that we need to sustain and build our operations. Said simply, we had an abundance of work had all the materials and a lower cost base, as we were still returning to full operations after the extreme cost reductions we had taken in response to the pandemic. Against that backdrop in comparison for the third quarter of 2021, we were able to post $1.85 and earnings per diluted share, versus $1.76 of adjusted diluted earnings per share in the year ago period. We grew revenues to $2.52 billion, with 14.5% overall revenue growth and 12.2% organic revenue growth. We posted 5.4% operating income margins despite strong headwinds from supply chain issues and labor disruptions caused by the Delta Variant. I believe this is very good performance considering the operating conditions we faced in the quarter. We grew remaining performance obligations or RPOs 18.7% from the year ago period to $5.38 billion. We generated operating cash flow of $121 million, despite the strong organic revenue growth. All-in-all, we had a very successful quarter that continues to show the strength and diversity of our business. But more importantly, the outstanding leadership provided by our teams at the subsidiary, segment and corporate level. Our electrical and mechanical construction segments had excellent performance in the third quarter of 2021. Both segments posted strong operating income margins, and had strong organic revenue growth. Through careful planning on our large projects, and excellent supplier relationships we mitigated a lot of the supply chain disruptions facing our operations. However, we have seen cost increases of 10% to 20% and anticipate that such increases will continue in the near future. And that is only part of the issue, as we have seen lead times increased by two to three times their normal levels. Our success in the quarter points to the continued resiliency of our teams, the ability to navigate these issues, deliver for our customers and continue to keep our workforce productive and safe. We continue to have a robot pipeline of data center, warehousing and healthcare projects. And we had strong bookings with our manufacturing clients in the quarter. Building Services had the most difficult comparison a quarter as a deep cost cuts taken at the height of the shutdown were most severe in the segment. We still post a decent operating income marked as a 5% against the year ago period of 6.9%. However, we were most affected in this segment by supply chain issues and diminished productivity. Although demand for our retrofit project work is very strong, we had some issues with a synchronization of our supply chain with our labor planning, resulting in reduced productivity. To mitigate these issues, it has become a common practice that daily communications on deliveries and price changes on our quick term project and service work. Further, this segment also bears the brunt of the dollar per gallon increase in the fuel, which gasoline and diesel year-over-year due to its large fleet and this had an impact of 20 to 30 basis points on operating income margins. We can pass some of this increase on our customers that had just repriced into our time and material rates in June. We will do so again between now and January across the majority of our building services operations. This is the second increase this year, which is not our usual practice of executing which is once a year, usually in June. Demand remained strong and we will continue to improve our planning over the next quarter or two. Industrial Services continue to operate as we expected. We improved on a year-over-year basis with respect to revenue and operating income. We had some impact with respect to the storms in the Gulf Coast. But that mainly just pushed out work to later in the year or into next year. And we did have some disruption to our shop work in Louisiana. Demand for our services continues to build. Refinery utilization is at a very high level. And we expect to and we expect to execute a better fourth quarter turnaround season this year versus the year ago period. We also anticipate much improved demand as we exit the year and move into the first quarter of 2022. The U.K. continues to execute well for its customers with double digit revenue growth and good operating income margins. Demand remained strong for our services. But like in the United States, we are also battling supply chain issues for our quick term project work in the United Kingdom. We'll leave the quarter with a pristine balance sheet, strong fundamentals and record RPOs. And with that Mark, I’ll turn it over to you.
Mark Pompa: Thank you, Tony, and good morning to everyone participating on today's call. For those accessing this presentation via the webcast, we are now on slide seven. Over the next several slides I will augment Tony's opening commentary on EMCOR’s third quarter, as well as provide a brief update on our year-to-date results through September 30. All financial information referenced this morning is derived from our consolidated financial statements included in both our earnings release announcement and Form 10-Q filed with the Securities and Exchange Commission earlier today. So let's revisit and expand overview of EMCOR’s third quarter performance. Consolidated revenues of $2.52 billion are up $320 million or 14.5% over Quarter 3, 2020 and represent a new all-time quarterly revenue record for EMCOR. Each of our reportable segments experienced quarter-over-quarter revenue growth. Excluding $50.3 million of revenues attributable to businesses acquired, pertaining to the time that such businesses are not owned by EMCOR and last year's quarter, revenues for the third quarter of 2021 increased nearly $270 million or a strong 12.2% when compared to the third quarter of 2020, which was still somewhat impacted by the effects of the COVID-19 pandemic. The specifics of each reportable segment are as follows: United States Electrical Construction revenues of $527.9 million increased $55.9 million or 11.8% from 2020s third quarter. Excluding acquisition revenues within the segment of $29.5 million this segment's revenues grew organically 5.6% quarter-over-quarter. Increased project activity within the commercial healthcare and institutional market sectors were the primary drivers of the period over period improvement. United States mechanical construction segment revenues of $999.6 million increased $108.1 million or 12.1% from Quarter 3, 2020. The results of this segment represent a new quarterly revenue record. Revenue growth during the quarter was driven by increases within the manufacturing, healthcare and commercial market sectors. With respect to the manufacturing market sector, we are in the early phases of construction on several food processing plants, which will accelerate further as we move into 2022. From a healthcare market sector perspective, there continues to be greater demand for our services, as we are engaged in a number of projects ranging from mechanical system retrofits to complete installations in both new and existing healthcare facilities. Lastly, within the commercial market sector, we continue to see strong demand for data center project work given growth in digital storage and cloud computing across the United States. And we continue to assist our e-commerce customers with the build out of the warehouse and distribution network through both traditional mechanical as well as fire protection services. Third quarter revenues from EMCOR’s combined United States construction business of $1.53 billion increased $164 million or 12%, with 9.9% of such revenue growth being organic. This combined revenue performance eclipses the quarterly revenue record established by this group during the second quarter of this year. Despite this record revenue performance, each of our construction segments have increased the remaining performance obligations both year-over-year as well as sequentially. United States Building Services Quarterly revenues of $632.5 million increased $75.9 million or 13.6%. Excluding acquisition revenues of $20.8 million the segment's revenues increased at 9.9% organically. Revenue gains were reported within our mobile mechanical services division due to increase project, service repair and maintenance activities. Our commercial site based services division as a result of new contract awards, and our government services division given an increase in indefinite delivery indefinite quantity project volumes. EMCOR’s industrial services segment revenues of $232.2 million increased $60.7 million or 35.4% due to improve demand for both field and shop services, as we are beginning to see some resumption of maintenance and small capital spending in the energy sector. United Kingdom Building Services revenues of $129.5 million increased $19.4 million or 17.6% from last year's quarter. Revenue gains for the quarter resulted from the continuation of strong project demand from the segment's maintenance customers who previously deferred such work during 2020 as the result of the COVID-19 pandemic in the related prolonged U.K. government lockdown measures. Additionally, the segment's revenues were positively impacted by $8 million, a favorable foreign exchange rate movements within the quarter. Please turn to slide eight. Selling, General, Administrative expenses of $243.9 million represent 9.7% of third quarter revenues and compared to $226.8 million or 10.3% of revenues in the year ago period. The current year's quarter includes approximately $5.3 million of incremental expenses from businesses acquired, inclusive of intangible asset amortization, resulting in an organic quarter-over-quarter increase in SG&A of $11.9 million. Consistent with my commentary during our second quarter earnings call, the prior year period benefited from substantial cost reductions resulting from our actions taken in response to the COVID-19 pandemic. A significant percentage of such savings pertained to employment costs, including furloughs, headcount, reductions, and temporary salary reductions. Conversely, EMCOR’s considerable revenue growth in 2021 has necessitated an increase in headcount in the current year. Additionally, our SG&A for the current period reflects an increase in health care costs, as the result of a normalization in the level of medical claims, as well as greater travel and entertainment expense due to a partial resumption of certain business activities by our workforce, when compared to the same timeframe in 2020. The reduction in SG&A as a percentage of revenues as a result of the aforementioned increase in quarterly revenues without a commensurate increase in certain of our overhead costs, as we were able to successfully leverage our cost structure during this period of strong organic revenue growth. Reported operating income for the quarter of $137.4 million or 5.4% of revenues, compares to operating income of $135.9 million or 6.2% of revenues in 2020’s third quarter. The 80 basis point reduction in operating margin loss due to reductions in gross profit margin within several reportable segments due to a less favorable revenue mix, which I will elaborate on during my individual segment commentary. Despite this reduction in quarter-over-quarter operating margin, EMCOR’s $137.4 million of operating income represent a new third quarter record. Specific quarterly performance by segment is as follows: Our U.S. Electrical Construction segment operating income of $44.1 million decreased $1.9 million from the comparable 2020 period. Reported operating margin of 8.3% represents a reduction from the 9.7% margin reported in 2020’s third quarter. The decrease in both operating income and operating margin is due to a decline in gross profit within the commercial and transportation market sectors given a change in the composition of project work performed quarter-over-quarter. In addition, and as disclosed in last year's third quarter, the results from the prior year period benefited from the settlement of final contract value on two projects, which favorably impacted this segments Q3, 2020 operating income and operating margin by $4.4 million and 70 basis points respectfully. Third quarter operating income for U.S. Mechanical Construction Services segment of $82.3 million represents a $2.3 million increase from last year's quarter, while operating margin of 8.2% represents an 80 basis point reduction from the 9% earned in 2020’s 3rd quarter. From an operating margin perspective similar to our Electrical Construction segment the reduced profitability can be attributed to a less favorable mix of work during the quarter. Most notably, this segment experienced a decrease in gross profit margin within the manufacturing market sector, as the results for the period include increased revenues from certain large food processing projects, for which we are for which we are acting as the construction manager and carry lower than average gross profit margins when compared to our traditional subcontractor arrangements with our customers. Further, the results for the year ago period benefited from the favorable close out of several manufacturing projects, which resulted in incremental operating margin contribution. To be clear, the impacts within the quarter for both our Construction Segments relate to discrete projects or events. It should not be misconstrued as representative of a margin expectations for our on-going projects and service contracts included in remaining performance obligations, which Tony will cover in detail later this morning. Our combined U.S. Construction business is reporting $126.4 million of operating income with an 8.3% operating margin. This level of operating income represents a new third quarter record for our combined construction business. I would like to add that though below that of the prior year, the operating margins today in 2021 for each of our Electrical and Mechanical Construction segments exceed both their three year and five year average margins. Operating income for U.S. building services is $31.6 million or 5% of revenues. This represents a reduction of $6.9 million and 190 basis points of operating margin quarter-over-quarter. Growth and operating income within the segment's commercial site based and government services divisions was not enough to offset the clients within its mobile, mechanical and energy services divisions. As I commented during last quarter’s call, our Mobile Mechanical Services Division has a large number of fixed price capital projects currently in process, which traditionally have a lower gross profit margin profile than the segments call out service and small project work. In addition, during the quarter, we experienced some productivity issues partially due to the delayed receipt of certain equipment and materials, which has impacted our profitability both in terms of dollars and margin. Lastly, growth in the segment's SG&A expenses due to headcount additions to support revenue growth, as well as incremental amortization expense related to businesses acquired further compressed operating income and operating margin. Our U.S. Industrial Services segment operating loss of $3 million represents a $5.9 million improvement from the $8.9 million loss reported in 2020’s 3rd quarter. Development improvement, this segment continues to be impacted by difficult market conditions within the oil and gas industry. Additionally, though, not as severe as in the prior year quarter, this segment experienced lost workdays due to both temporary plant and certain customer site closures, resulting from named storm activity in the Gulf Coast region during the 2021 quarter. U.K. Building Services operating income of $6.6 million or 5.1% of revenues represents an increase of $1.3 million and a 30 basis point improvement and operating margin quarter-over-quarter. Approximately $400,000 of this period-over-period improvement is due to positive foreign exchange movement, with the remainder attributable to an increase in project activity primarily within the commercial market sector. We are now on slide nine. Additional financial items of significance for the quarter not addressed in the previous slides are as follows: Quarter three gross profit of $381.3 million is higher than the comparable quarter by $18.2 million or 5%, gross margin of 15.1% as lower than the 16.5% and last year's third quarter due to the shift in revenue mix in each of our U.S. Electrical and Mechanical Construction segments as well as their U.S. building services segment as I just referenced during my segment operating income discussion. Diluted earnings per common share of $1.85 represents a new quarterly record for the company and compares to $1.11 per diluted share in last year’s third quarter. Adjusting 2020’s EPS for the negative impact and our prior year income tax rate resulting from the non-deductible portion of last year's non-cash impairment charges recorded during 2020 second quarter. Non-GAAP diluted earnings per share for the quarter ended September 30, 2020 was $1.76 when compared to our current quarter’s performance, we are reporting a $0.09 or 5.1% quarter-over-quarter earnings per share improvement. Please turn to slide 10. With my quarter commentary complete, I will touch on some high level highlights with respect to EMCOR’s results for the first nine months of 2021. Revenues of $7.26 billion represent an increase of $747.8 million, or 11.5%, of which 9.4% of such revenue growth was generated by organic activities. Operating income of $387.8 million or 5.3% of revenues represents a significant increase from reported operating income for the first nine months of 2020 and a double digit increase from the corresponding adjusted non-GAAP operating income figure for that period. Year-to-date diluted earnings per share is $5.17 and represents an increase of approximately 14% over 2020’s adjusted non-GAAP EPS for the nine month period. Although not shown on the slide, my last comment on our year-to-date results is with respect to operating cash flow. For the first nine months of 2021, we have generated approximately $114 million of operating cash flow, which is well below 2020s record performance. As I commented last quarter, our substantial organic revenue growth has required increased working capital investment. This contrast to 2020 where for a large part of the year, we were liquidating our balance sheet due to the revenue declines resulting for the from the COVID-19 pandemic. Further, it is important to note that last year’s nine month operating cash flow was favorably impacted by $82.3 million due to government stimulus measures that allow for the deferral of certain tax payments in both the United States and the United Kingdom. As previously communicated, my expectation for full year 2021 was operating cash flow in excess of $300 million. With our upward revision in 2021 revenue expectations, I am still targeting the same level of operating cash flow performance, but it is possible that we may not eclipse the $300 million target should our working capital investment be greater than expected during the fourth quarter. Please turn to slide 11. EMCOR’s balance sheet remains strong and liquid. Cash on hand is down from year-end 2020 driven by cash used in financing activities are approximately $213 million, inclusive of $183 million used for the repurchase of our common stock and cash used in investing activities of $137.5 million, most notably due to payments for acquisitions that have cash acquired totaling approximately $114 million. These uses of cash were partially offset by cash provided by operations of $114 million as I noted just a few moments ago. Working capital has increased by nearly $20 million. Increases in accounts receivable on contract assets resulting from our substantial organic revenue growth during the period were partially offset by the decrease in our cash balance just referenced as well as our increase in contract liabilities. The increase in goodwill is predominantly a result of the five businesses acquired during the first nine months of this year. Net identifiable intangible assets increased by $19 million as the impact of additional intangible assets recognize the connection with the previously referenced acquisitions which was largely offset by $48 million of amortization expense during the year-to-date period. As a reference point, on a full year basis we anticipate depreciation and amortization expense, including both depreciation of property, plant and equipment, as well as amortization of intangible assets to be approximately $112 million for 2021. Total debt exclusive of operating lease liabilities is fairly consistent with that of December 2020. And EMCOR’s debt-to-capitalization ratio has reduced to 11.4% from 11.9% at year-end, 2020. EMCOR remains well positioned to capitalize on available opportunities as our balance sheet, combined with the borrowing capacity available to us under our credit agreement provides us with great flexibility and pursuing numerous organic and strategic investments. With my portion of this morning slide presentation completed. I would like to give a call back to Tony, Tony?
Tony Guzzi: Thanks Mark. And I'm going to be on page 12 remaining performance obligations by segment and market sector. We had another strong project bookings quarter here at EMCOR. Each of our five reporting segments are RPO growth year-over-year, while as we mentioned earlier, simultaneously increasing revenue over the same period. We also saw RPO growth in seven of the eight market sectors in which we report. By definition, RPO and project bookings are forward-looking. So it's fair to say that we're currently seeing strong future demand across all of our segments and market sectors. While September 30, is a single point in time, and project certainly ebb and flow, we are well positioned moving into 2022. As mentioned earlier, total company RPOs at the end of the third quarter were just under $5.4 billion, up $849 million or 18.7% when compared to the year ago level of $4.5 billion. Organic RPO growth was strong 15.6%. Year-to-date for the nine months completed in 2021 total RPOs have increased $784 million, or just over 17%. The strong booking activity across the company trends related to a book-to-bill ratio well over one, despite the company generating record revenues. Our two domestic construction segments experienced strong construction project growth in the quarter, with RPOs increasing $606 million or 16.5% from the same period last year. RPOs were lifted slightly by two Midwestern Electrical Construction Services acquisitions completed this year. Building Services or RPO levels increased 180 million or almost 29% from the year ago quarter, 142 million and 180 million was organic. We continue to see widespread small and short duration project demand and believe this will remain active through the end of the year and into 2022 as workers returned to buildings, campuses, factories and institutional facilities across the country post COVID and as the Delta variant hopefully continues to subside. Our Industrial Services segments, our RPO increase of $53 million from September 2020. Work within our heat exchanger shops has been building and while still are lower than historical levels, pricing appears to be improving a bit. Further, we continue to build capability, execute fixed price contract work, in both our electrical and mechanical trades in this segment. While this segment remains challenged due to macroeconomic forces, we are starting to see signs of increased activity, much as we expected as we move into 2022 and that is good news. In summary, we continue to see strong momentum in our core markets and our scale, diversity of demand, and ability to pivot to more resilient sectors has allowed us to continue to have strong bookings in RPO growth, but also very strong organic revenue growth. I'm now going to finish our discussion on pages 15 and 16. We are closing in on yet another record year performance at EMCOR despite a very difficult operating environment. At the beginning of the year, we expected that margins would be under some pressure. But we believe that we would have the necessary revenue growth to offset any margin compression. We foresaw the supply chain issues, but quite frankly, they are worse than we expected. We not only have seen increasing and volatile pricing, but lead times that extend through two to three times normal levels. Energy prices, especially gasoline and diesel costs have increased by more than we anticipated. We also expect COVID to be much less impactful than it was as a Delta variant caused disruption on some job sites and send some key supervision into quarantine. Working in this challenging environment, we continue to deliver in a no excuses manner and execute well for our customers while keeping our employees safe. Despite such headwinds, we are raising our guidance. Our new guidance is diluted earnings per share of $6.95 to $7.15 and we now expect our revenues between $9.80 billion and $9.85 billion. As we close on 2021, we do expect to continue to be challenged by supply chain and productivity issues. But we will work through them as we are resilient. We expect the non-residential market to show mid-single digit growth in 2021 and expect that momentum to continue into 2022. We, like all large employers will have to navigate complying with the pending emergency temporary standard or ETS with respect to mandatory vaccination and testing and the executive order mandating vaccination on federal contracts. The ETS has not been released and therefore the related costs to comply and the impact to our productivity are unknown. We expect to energy generate additional operating cash flow in the fourth quarter. And we expect to continue to be balanced capital allocators. To date into 2021, we have repurchased $183 million in EMCOR stock, paid $21 million in dividends and invested $114 million in acquisitions that will continue to position EMCOR for long term and sustained growth. Our board of directors just authorized a new and our largest share repurchase authorization of an additional $300 million. We continue to have a very active acquisition pipeline. I am thankful for EMCOR team members and leaders for their dedication and resilience as we continue to focus on employee safety, and delivering for our customers. As always, thank you for listening and you interest in EMCOR. And with that, Jerome, I will now take questions.
Operator: [Operator Instructions] Your first question comes from Sean Eastman with KeyBanc Capital Market. Your line is open.
Tony Guzzi: Hi, Sean.
Sean Eastman: Great. Morning. Great quarter. Thank you. So everyone is obviously worried about labor availability supply chain, inflation, you guys touched on it quite a bit in the prepared remarks. But maybe just in short, Tony, what's the playbook for running the business in this sort of resource constrained operating environment? I mean, what are kind of the one, two, three things you're doing or really focused on, as we look out the next couple of quarters.
Tony Guzzi: Sean, it really comes down to a couple things. The labor availability, I'm going to put to the side for a minute. I think our folks over a very long period of time have figured out how to navigate through labor availability. And now we have learned how to navigate through disruptions to labor, with the pandemic, on our job sites. So I think we know how to do that. I think we'll get through that. And we've done it before in high growth markets. We're blessed with some of the best local management that you can have that really understands their labor, and understands how to keep good supervision on job sites. Going to the second point on supply chain. I think now's the time in some ways you get rewarded for being a good partner. EMCOR has never been known as a company that takes advantage of its suppliers on terms or doesn't do what we say we're going to do. We also don't blame suppliers for things that were our problems, which could be common practice in our industry at times. So we're known as a pretty good partner for a supplier. And that's paying dividends. Now, where you see that most is at the distribution level. Most of what we buy comes through distribution in some form or another. And we have very good OEM relationships. And because of our scale, we have the ability to make sure on our most important jobs, that we can keep availability, as good or better than anybody else. The thing that might be a little bit different in this playbook right now is how you deal with the short term quick term service work. One of the things we pride ourselves on is keeping our customers facilities, factories, educational facilities, institutions, healthcare facilities up and running. When someone makes a commitment to us on a six week project, that the materials are going to be there, we believe them. And in today's world, I think that's become more problematic, not because our suppliers don't think they can deliver it in that time period, is that sometimes they can't. So we've had to go the extra mile and communications. And it really has changed some of our planning. Before we something as similar as demo something, we mean by that is demolish something, so that we can build because we have to keep our customers facilities running. And it couldn't be as simple as we were getting really good at on time, right on right on place, delivery of service parts. I think some of that's going to go by the wayside for the next six to nine months, as we just like to make sure we have it in our hands before we start a repair. So a lot of variables going on. It's 1000 details. So the first one is labor availability, a lot of communication. The second way is a supply chain, having been a good partner or being rewarded for that now. Lots of communications, don't get to advance in the project until you're sure that you have the materials you need to execute to the next part of the project. And then the third one is be very clear on contract terms. I'm actually pleased with how we've been able to work with our customers through these supply chain issues and through the pandemic. Everybody seems to have the attitude right now that we're all in this to some extent together. And we're just trying to get to completion and get and get a building built, get a data center built, get it commissioned in online and a lot of planning has to go on is less than ideal. Unfortunately, things like this teach you new lessons that in some ways will make you better long term. But I would just leave you with this. The supply chain issues are unprecedented. I'm seeing lead times I've never seen in my career, and I've been doing this a long time. That is almost as big of an issue for us as pricing or is a bigger issue. Mark, any add up?
Mark Pompa: No, Tony. I think Sean what, it's unprecedented, at least in my professional career. And not to overplay this. But I think, the fact that we have long standing relationships within our supply chain certainly advantageous to us. But ultimately, there's a lot of things that have to happen on the front end, in order for us to continue to be successful. And we all contingency plan to the best that we can. But ultimately, there's only so much we could do. And I think we've been successful today. And based on our revision and earnings guidance, we don't see any reason why we will not continue to have the same level of success as we move forward through the end of 2021.
Sean Eastman: Okay, great. All right, that's helpful. And then and then maybe just trying to connect the dots between Tony, your last comment there just on unprecedented supply chain, lead times, and not getting too advanced on a project until you're sure you have the materials, sort of balancing that with this, huge momentum in RPOs. And, and in, in the bookings trends year-to-date. I mean, the RPO's are up mid-teens organically, clearly, that support some nice growth into next year. But do we need to kind of moderate our expectations around kind of how much you're going to let the business grow in this kind of environment. I mean, if you can, sort of level set on a reasonable expectation for growth into next year, even qualitatively around these dynamics, that would be that would be helpful.
Tony Guzzi: Yes, look Sean, we've always had the belief that we typically in a good market grow little grow better than what the non-res markets going to grow. We are in some resilient sectors. And so we're not going to hold back when we can win good work, and we can responsibly execute that work. And so if you look at our RPO’s we believe that that's representative of what we think we can accomplish at those elevated levels. I think what happens in this kind of environment, and we've seen this over the last two or three years, is there's a definite especially at the two ends, right? Owners, when you're doing a service project or retrofit project, want to go with quality people that know how to do the work and can plan and you think about it, there would even be more reason to want to deal with a company like ours, because they know that we have the resources to make that happen. And on the top end, at the project level, you're competing against a budget a lot of times now, but people want to be with well resource companies. And that's beyond just financial strength. That's what the resources to actually do the planning to learn from each other, to be able to draw on the kind of supplier relationships Mark and I talked about, and to have very clear communications on what we can accomplish and on what schedule. So I don't think there's a fixed amount which say this company can grow. It's very much a bunch of individual decisions and local markets and sectors. And I think the appetite for larger projects is out there with some of our owners. I tell you what you do see in this kind of environment, I think what we're benefiting. From some of our construction manager, general contractor customers in a market that may have less complication, sometimes would like to cut up a job, right and give different pieces to different people. In this kind of environment you'd rather be with somebody like us and let us worry about multiple parts of the project and multiple trades on that project. And what I mean by that is not necessarily or mixing or electrical mechanical work, but we can take a greater mechanical scope or greater electrical scope on a project and so we are seeing that. And that might be what part of what's underlying that RPO growth.
Sean Eastman: Very interesting. Alright, I'll turn it over. Thanks, guys.
Tony Guzzi: Thanks, Sean.
Operator: Your next question comes from Adam Thalhimer with Thompson Davis. Your line is open.
Adam Thalhimer: Hey, good morning, guys. Congrats on a great quarter.
Tony Guzzi: Thanks, Adam.
Adam Thalhimer: Hey, Tony, what would be your thought on margins in backlog?
Tony Guzzi: Adam, I don't have any reason to believe that we didn't we don't we haven't booked work at an acceptable margin. Now, margins fluctuate quarter to quarter as Mark talked about. We're still well above even in the quarter, three year average. If you've been following us a long time. I think you would agree for the most part. These are very good margin levels especially with the headwind that we're seeing in industrial with no real operating income margin contribution. Some of that has to do with contract structure, as you get to the bigger jobs, right, you might be working on more GMP or guaranteed maximum price type contracts that adjust. And there's more cost transparency, some of it will have to do with the quick turn service work in the margin there. So we don't ever sit there and say, hey, there's a specific margin of backlog we're looking for, quite frankly, it's a tough thing to measure. But we do look for say, do we have the right work? The right people, and the right tool is to earn an acceptable return on capital employed, and return on investment and return on labor for that project work. So we feel good about what we have in RPO’s. We think it's good to mix it we've had, but again, that will fluctuate quarter-to-quarter. Mark?
Mark Pompa: Yes. Adam, really nothing to add to that. I think, when you look at our year-to-date, margin performance, it is quite strong. Clearly, because of the complexity of this business, you do get some margin fluctuations, quarter-to-quarter depending on the timing of work. We are, we are on the front end of a lot of large work right now. And, as our history has indicated, we tend to, we tend to be a little bit more cautious with profit recognition at that point until we're fully established on the job site. And clearly with, the everything that was required as a result of the COVID-19 pandemic we're being extra cautious with regards to our labor on site, and obviously, how we're working with the other trades around us. So, we certainly did not tell our operating teams to reduce their level of expectation for profitability and work as they're approaching their markets. We're clearly requiring the same level of excellent execution amongst all of our projects and service opportunities, so that so that it hasn't changed. So I don't see that our future is going to look any different than our than our recent past. And we're going to continue to perform well, for all of our stakeholders.
Tony Guzzi: Yes, let me let me tie together a couple thoughts there for the broader group. And Adam, you gave us a good opening to do that on page 13, and 14. So we talked about what we had in these resilient sectors in these growth opportunities. And so when you look at page 13 and you see data centers, warehouses, industrial manufacturing, healthcare, water and wastewater, mechanical services, in their quality of fire protection. Everything we've talked about for the last year and a half is still very strong. And some of them really stand out. I mean, fire protection continues to be a very strong market for us. We are the nationwide leader, especially in the installation side. And we got to be two or three on the service side now. This digital buildup, data centers and the digital infrastructure around supply chain that's happening within the country, maybe they should let some of those guys take over the ports and figure out how to get that done. But what we're doing within the country is pretty strong. Well the data center market continues very strong as the infrastructure for the supply chain for the big delivery services. Industrial manufacturing continues to be two, I think three stories for us. The first story is we're really good at tech manufacturing and supporting tech manufacturing. And you think what's going to happen with a chip build out, we're well positioned in a couple markets where that's going to take place. You think what's happening in food processing, which is going to continue to grow. We're very well positioned with our Shambaugh subsidiary. They have some nice opportunity in front of them, they tend to be episodic. But that team knows really knows how to execute, as does our tech manufacturing people. And finally, the reshoring of manufacturing is a real trend. And the supply chain issues continue to exacerbate that. We've been talking about it for two or three years. We continue to see that and you really see it and things like the things on a pharma, grid resiliency, and finally on building products, you see it in all three of those areas. Healthcare continues to be a good market for us. And it's going to continue to be. One thing we learned in the pandemic. And I think our healthcare customers obviously are dead serious people. And as a result of that, they're looking to build more resiliency and more flexibility into their facilities. And they realize their mechanical systems especially may need to be updated and made more flexible. Water wastewater for us as a more localized market on the mechanical side, much more natural on the electrical side certainly not as big as scope, mechanical services, indoor air quality and energy retrofit are all very strong markets for us. What you're seeing a little bit in the building services margin is not so much that the work wasn't good at RPO is what you're seeing in some ways is, is that's where the supply chain issues came to a head the fastest. That team knows how to execute, they've been correcting it, maybe we had a couple 25% of the problem was ours, but 75% was probably externally gender driven. And across all those sectors, the fire protection business remains very strong. I would add one more, and that's respect to energy transition. I mean, clearly, as a big trade contractor, we have something that's very valuable for people to use. We will participate in the energy transition, and already are. We have a solar capability. We've done some projects, both in our electrical segment. And we've now started to really build a capability in our industrial services segment to do that work. That work has long lead time, though. I mean, and will participate there. We also do a solar work and conducting with our mechanical services work, especially in states like California, New Jersey, and in New York, and some in Arizona. So we do that work today. And it's more, low megawatt megawatt or less provider, versus the 200 megawatt sites that our electrical segment may do, or our electrical work, trades in the industrial services. And then finally, as you start thinking about things longer term like carbon capture this pipe, and there'll be a lot of piping done around that. And that will happen both in our mechanical construction segment, and our industrial services segment. And we're in the best on some of those ideas. In the first or second ending, we're seeing our customers already start to talk to us about us and the capability we'll have there. And in the thing you don't think as much about and something we are participating in on the industrial services segment. And again, it's in the first inning is the renewable fuels that some of our refinery customers are actually adapting their facility to do and again, it's electrical system upgrades, and as pipe, both of which we're pretty good at. So put all that together. We feel good about some of these growing markets. Now go to page 14, we have some headwinds, right. I mean, everybody's wrestling with the same thing right now on supply chain. And you're going to worse, what did we expect it to be in here, when we make guidance that as the year progressed, if you remember, we were doing a little bit of whining about supply chain. In our first quarter call, in our second quarter call, we did a little more whining. And here in the third quarter call, we're talking about it more. So we expected good availability, but some price increase, material prices are volatile, and increasing. But that second point, we make on that chat on the lead times. So market will probably see right, if the projects are going to go, they'll move forward, they may slide to the right, you see some of that already in our numbers. And so what that really affects for us is our ability to recognize revenue or profit at a certain time, because versus what we plan. And sometimes we may have a gap, right. We may have labor that we need to keep on board because the schedule has been elongate a little bit. We're pretty good about not doing that. But that could be one of the productivity issues that we wrestle with. So you know, Adam, you gave us a chance to talk more comprehensively about it. But I hope that answers a lot of folks questions about how all this knits together.
Adam Thalhimer: Okay, great color. I'll turn it over.
Operator: And your next question comes from Zane Karimi with D.A. Davidson. Your line is open.
Zane Karimi: Hey, good morning, Tony, Mark, Kevin, and congratulations on the solid quarter.
Tony Guzzi: Good morning, Zane.
Zane Karimi: So I know you guys alluded to it earlier, but can you provide some more color around any of the impacts of industrial segments or related to the storms in the South?
Tony Guzzi: Mark, I want to turn that to you.
Mark Pompa: Yes, Zane. I mean, clearly, the storm activity in the current year, third quarter was not as exaggerated as it was a year ago. But clearly Ida and to a lesser extent, Tropical Storm Nicholas were impactful, most impactful to our customers who basically they had a closer facility as a result of that, which ended up deferring some of the work that we were anticipating and doing in the third quarter. So that work, for the most part is has trickled into quarter four. However, some of that looks like it actually might trickle into the first quarter of 2022. So certainly impactful. But last year's quarter was much more impacted by the rest. I believe there was five named storms in the third quarter of 20, calendar 2020. Most of which did impact us our customers in some way, shape or form. So we, we did have lost workdays this quarter, but still, we're all happy with the performance of that segment, certainly on a comparative basis to a year ago and how that market is developing for us as we move forward in the year.
Tony Guzzi: Yes Mark, I think one of the things we see, in general with industrial services Zane is, we've communicated correctly, here at this level, about what how we thought the year was going to roll out and how things would strengthen and where the opportunities would be. We can only do that, because that tells you how intuitive our folks are with their customers, and what kind of position we have with our customers to be able to actually get a pretty good handle on how the markets evolving. I don't think that's necessarily that common with some of our competitors. But it shows you the depth of our customer relationships, but also the sort of market awareness that our team has. The other thing is, when you get to that, the impact of storms, we can't control what happens within our customers. But we've started to do a much better job of in our case, is we've done more and more things to harden our facilities to be able to withstand the storms, much better than over the last 18 months than we had previously. And we're going to continue to do that.
Zane Karimi: Great, thank you. And then one more. Yes, you did mention, solar. Some of that's interesting. But can you talk a little bit about the M&A environment that you're seeing now? And how you're feeling about that going into 2022?
Tony Guzzi: Yes, so I've been a consistent whiner over probably 10 years, complaining about the prices private equity will pay and the things they will do and deal structure. You know what, somehow we've managed to do a bunch of very successful deals with the right people at the right time. And I think our acquisition program over the last five years, has been as well executed as well integrated as almost any time in our history. I think it has been the best time in our history for M&A. All that being said, we've made some progress, right. We've done $114 million here today. I think the way we've described it, we expect to be able to at least replicate what we've done from 2017 through 2024. Deals happen when they happen. We have a lot of discussions going on. It's a pretty active market for every one deal that may even get to the point where I look at, we've looked at 10. Our business development team, and they're really good at working with our segment people to get that down to something we can look at. We've done some creative things around the companies we've just bought, we bought our first ESOP and we did extraordinarily well. And we're very happy with the incorporation of that very fine electrical contractor in the Midwest into our family. That was something we hadn't done before. And but we figured out how to do that. And when that opportunity presents itself, we will be a buyer that tends, we think that could be a good market for us. We aren't competitive when it's a broad auction with 15 private equity people thrown in numbers bidding the book. So, I'd say more of the same. We continue to see opportunities, and we love where our balance sheet is to be able to do those deals. We can always look at somebody and say, we can close. And we can close without condition on financing. And add one other thing, I’m proud of speaking. We continue to attract folks that are selling their life's work, or their families, generational life's work. And we're good home for those companies. And I was in a discussion several weeks, a week ago with someone. And you could see the pride of that person of what they build as a team. And hopefully, we'll be able to make that deal here at EMCOR. And we're out there doing that all the time. So all that being said, and okay, environment. I'll add one other thing when you go to the balance sheet. We take for granted, the success we've had with our balance sheet. That balance sheet is a point of competitive differentiation for us. I believe and I think Mark believes and our segment leadership believes that having that liquidity on our balance sheet is something these bigger customers look to, because they know we're going to complete the job. They know we're going to have the working capital to get it done. And they know that we're not going to it's sort of endemic of how we think about the business overall. We take measured risk, and that's how they want us to do if they're trusting us to do an $80 million project that's going to burn in 13 months in his critical data infrastructure. So you can't separate the two. And it's not only a point to allow us to firepower for acquisitions, but some of this good great underlying organic growth you see it because customers trust us to be measured conservative and thoughtful, and how we approach the overall business.
Zane Karimi: Great. Well thank you for all that. And I'll jump back into the queue.
Tony Guzzi: Thank you
Operator: All right. Thank you no further question at this time, so I'll turn the call back to Tony Guzzi for any closing remarks.
Tony Guzzi: Yes, thanks to you all. It's certainly been an interesting year. And I want to then just finish by thanking our EMCOR employees, our subsidiary teams, you've done a great job, our segment teams. I know the four of us sitting around this table today feel blessed to be able to be on the same team as you all. Stay safe. And I'm not going to wish you a happy Halloween because it's probably the holiday I care at least about, but we won't see until after the holiday. So Happy Thanksgiving, and happy holiday season. Thanks. Bye.
Operator: Thank you. And that concludes today's conference. Thank you all for joining. You may now disconnect.